Sadahiko Hayakawa: Ladies and gentlemen, we shall now start -- begin the earnings announcement session for the third quarter of the fiscal year 2019. My name is Hayakawa, the IR, the General Manager responsible for Financial Affairs. 
 I'd like to introduce our speakers for today. We have the Senior Executive Vice President, Chief Financial Officer, Hiroki Totoki; and then Senior Vice President, Senior General Manager of the Finance Department and Corporate Planning and Control Department, Naomi Matsuoka; and then we have VP, Senior General Manager, Global Accounting Division, Hirotoshi Korenaga. 
 Mr. Totoki will make the presentation today first and then we'll follow that with question and answers, and we plan to spend 40 minutes altogether. 
 With that, Mr. Totoki, would you please start? 
Hiroki Totoki: Before I explain our results today, I would like to speak a little about spread of infection from the new coronavirus. First, we extend our condolences to the families of the people who have passed away and send our thoughts to those who have been infected. Sony is very concerned about the spread of infection. 
 At this time, it is difficult to fully grasp what is going on, but we are exerting all efforts to gather information and assess the situation, and we are taking actions where possible. 
 Now I will explain these 2 topics. Fiscal '19 third quarter consolidated sales increased 3% year-on-year to JPY 2.4632 trillion, and operating income decreased JPY 76.9 billion year-on-year to JPY 300.1 billion. Net income attributable to Sony Corporation stockholders decreased JPY 199.4 billion year-on-year to JPY 229.5 billion. 
 As it's shown on this slide, certain extraordinary items were recorded in both the current quarter and the same quarter of the previous fiscal year. Excluding these extraordinary items, operating income would have increased JPY 16.5 billion to JPY 276.5 billion. Also excluding these extraordinary items, net income attributable to Sony Corporation stockholders would have increased JPY 58.3 billion from JPY 157.9 billion in the same quarter of the previous fiscal year to JPY 216.2 billion. 
 Next is the consolidated results forecast for fiscal '19. Consolidated sales are expected to increase JPY 100 billion year-on-year to JPY 8.500 trillion and operating income is expected to increase JPY 40 billion to JPY 880 billion. 
 I will explain the breakdown of sales and operating income for each segment when I explain the segment results. 
 Income before income taxes was upwardly revised to JPY 860 billion and net income attributable to Sony Corporation stockholders were revised upward to JPY 590 billion. The forecast for operating cash flow, excluding the Financial Services segment is JPY 760 billion, unchanged from the previous forecast. The assumed foreign exchange rates for the fourth quarter are JPY 109 to the U.S. dollars and JPY 121 to the euro. 
 As for the dividend this fiscal year, we expect to issue year-end dividend of JPY 25 per share. And when combined with the interim dividend already paid, the annual dividend will be JPY 45 per share, JPY 10 more than last fiscal year. 
 Now I would like to discuss the impact of the spread of new coronavirus infection. I just explained the upward revision of our consolidated results. But that impact of the spread of the coronavirus is not included in that forecast. At this time, it is difficult for us to assess the impact on our results, but depending on how the situation evolves, the impact could be large enough to eliminate the entire amount of the upward revision. We think there could be a major impact on our manufacturing, sales and supply chain operations, especially in the I&SS and EP&S segment. 
 Going forward, we will continue to gather information, assess the impact and take any necessary actions. Pursuant to that, if there is any material change to our forecast for the current fiscal year, we will disclose that change. 
 Now I will explain the situation in each of the business segments. First, Game & Network Services. Sales for the quarter increased -- decreased 20% to JPY 632.1 billion primarily due to the decrease in PS4 hardware sales and software sales as well as the negative impact of the exchange rates. PS4 hardware is in its seventh year since launch, and partly because we announced the PS5 next-generation console, unit sales decreased year-on-year. The yen-based average selling price of the hardware decreased due to the negative impact of the exchange rates and an increase in the proportion of units sold during the selling season. However, we were able to secure a margin on hardware that was flat year-on-year because we keep the promotional price at the same level as the last fiscal year, and because promotional costs were offset by year-on-year reduction in component costs, excluding the significant decrease in the free-to-play titles and the impact of the exchange rates. Software sales were essentially flat year-on-year. 
 Operating income decreased JPY 19.6 billion to JPY 53.5 billion primarily due to the impact on the decrease of the third-party software sales partly offset by the increase in the profit for the growth of the network services, PS Plus. 
 We revised downward our fiscal '19 sales forecast by JPY 50 billion to JPY 1.950 trillion and the operating income forecast by JPY 5 billion to JPY 235 billion. The revision in sales was due to a change in our forecast for third-party software sales, including the impact of postponement into next fiscal year of several titles sales. 
  And despite the benefit of operating cost reductions, operating income was revised downward mainly due to the decrease in software sales. Our financial results this fiscal year are in a period of adjustment as we approach the transition to the PS5's new-generation console, and because the contribution of free-to-play titles last fiscal year was quite large. 
 On the other hand, when you look at our results over the mid- to long term, you can see that our Game business is steadily growing as evidenced by the growth of network services such as PS Plus and we expect this growth to continue going forward. The proportion of network services revenue continues to increase mainly due to the increase in PS -- the number of PS Plus subscribers. We aim to leverage this large community and network services revenue stream to affect a smooth transition from the current console generation to the next unlike in the past when profitability deteriorated significantly due to development and marketing costs incurred. 
 Next, about Music segment. The third quarter sales increased 4% year-on-year to JPY 216.9 billion, but operating income declined JPY 110.8 billion year-on-year to JPY 36.3 billion. This decrease was mainly due to the absence of remeasurement gain resulting from the consolidation of EMI Music Publishing recorded in the same quarter of the previous year, and a decline in sales of mobile games in Japan. Excluding these items, our Music business is steadily growing mainly due to the growth of the streaming market. Streaming revenue in our Recorded Music business continued to grow at a high rate, increasing 16% year-on-year and 20% year-on-year, excluding the impact of the conversion to the yen. 
 And there's no change to our full year forecast for sales and operating income. 
 Next is about Pictures segment. The third quarter sales declined 15% year-on-year to JPY 236.0 billion, and operating income decreased JPY 6.2 billion to JPY 5.4 billion. This decrease in profit was mainly due to the significant decline in Motion Pictures revenues, partially, though, offset by an improvement in profitability due to the benefit of a channel portfolio review in Media Networks. 
 In the second quarter of the previous fiscal year, the major hit, Venom, was released at the beginning of October, significantly contributing to profitability throughout that quarter. But this fiscal year, the hit, Jumanji: The Next Level, was released only in mid-December, so that the majority of the contribution to productivity will come in the fourth quarter and beyond. While there were other releases that did not meet our expectations, all in all, I believe that our Motion Pictures business has been performing well. 
 The fiscal '19 sales and operating income forecast is unchanged. 
 Global box office revenue for calendar year 2019 increased led by growth outside of the United States. And similar to last year, Sony Pictures had the fourth highest market share of box office revenue in the United States in calendar year 2019. However, while all the major studios except Disney experienced a decline in box office revenue, Sony Pictures share increased 1 percentage point compared to the previous year mainly due to the contribution of the major hit, Spider-Man: Far From Home. I think this success is due to our leveraging of IP such as Spider-Man and Jumanji to build strong franchises. 
 Next, let me discuss our EP&S segment. Sales for the quarter decreased 9% from last year to JPY 650.4 billion mainly due to a decrease in sales of smartphones and TVs and the negative impact of exchange rate. 
 Operating income increased JPY 14.1 billion year-on-year to JPY 80.3 billion. This increase is mainly due to the benefit of restructuring of Mobile Communications and reductions in operating expenses in the various businesses within the EP&S segment, partially offset by the impact of the decrease in sales. 
 In order to reflect the deterioration of market conditions, we have reduced our sales forecast for the fiscal year by JPY 40 billion to JPY 2.070 trillion. The forecast for operating income remains unchanged as the impact of the decrease in sales is expected to be offset by improvements in operating costs across the various businesses. 
 The competitive environment during the 2019 year-end selling season was primarily intense in the key product areas of TVs and mirrorless cameras, but overall, we were able to control pricing, supply and inventory. 
 Although competition in mirrorless cameras has increased as other companies have entered the market in earnest, we maintained our share in major markets and produced results for our overall digital cameras that are higher year-on-year. 
 The intensely competitive environment in the TV market continued due to the deterioration in panel prices, but we maintained a high average selling price year-on-year by focusing on high value-added large screen models and we have maintained inventory at an appropriate level. 
 On the other hand, our Broadcast- and Professional-use Products business has seen a significant slowdown in China, an important market for the business, due to U.S.-China trade friction and the negative impact that it is having on the economy. To respond to these circumstances, we are taking a variety of actions including a review of our business structure. 
 Due to the benefit of restructuring that is ongoing, the Mobile Communications business continued to record a profit in the third quarter. In the fourth quarter, we intend to implement yet another fixed cost reduction plan and take other action to integrate the operations of this business with the other businesses in EP&S. We expect to record significant onetime costs primarily due to these actions in the fourth quarter, but the transformation of the business is progressing steadily towards breakeven next fiscal year. 
 Next is the I&SS segment. Third quarter results increased 29% year-on-year to JPY 298 billion primarily due to an improvement in the product mix and an increase in unit sales of image sensors for mobile devices. 
 Operating income increased JPY 28.7 billion year-on-year to JPY 75.2 billion mainly due to the impact of the increase in sales, partially offset by an increase in research and development costs and depreciation expense. 
 We revised upward fiscal year '19 sales forecast by JPY 50 billion to JPY 1.090 trillion, and the operating income forecast by JPY 30 billion to JPY 230 billion. Demand for image sensors in the fourth quarter continues to be strong. Although production capacity is expanding according to plan, and we continue to operate at full production capacity utilization, sales are increasing due to the strong near-term demand, and that is preventing us from stockpiling strategic inventory as originally planned. 
 In addition, partly due to the introduction of a highly competitive new product this fiscal year, we have been able to maintain our overall margin, all of which has been -- enabled us to operate this business extremely well. There is no change to our view that demand would continue to increase over the mid- to long term from next fiscal year. But in regards to next fiscal year, in particular, we cannot be too optimistic due to the impact of the spread of infection from the new coronavirus that I mentioned earlier as well as competitive environment and various geopolitical risks. We will continue to closely monitor demand trends and external environment as we manage this business going forward. 
 Now I would like to talk about the action we are taking over the mid- to long term. ToF sensors, which we expect will be the next growth driver after image sensors, have begun to sell well, although their size within the overall business is still small. We expect the adoption primarily in mobile devices to increase further from next fiscal year. Taking a longer-term view as we made a point of showcasing at CES last month, we are taking steps to expand the adoption of Sony's imaging and sensing technology in the mobility space and in the diverse industrial and factory automation space. 
  We plan to proactively invest even more in technology development to grow this business in the future, such as hiring of personnel including algorithm and software engineers and the building of an office in Osaka to serve as a design and development center for image sensors. 
 Lastly, I would like to explain the Financial Services segment. The third quarter financial service revenue increased significantly by JPY 243.6 billion year-on-year to JPY 407.2 billion. This increase was primarily due to a significant increase in the investment performance of variable life insurance products in the separate account at Sony Life, resulting from the rise in the domestic and foreign stock markets during the quarter. 
 Because a significant portion of the investment performance of the separate account is attributable to the owners of insurance policies, the contribution to operating income is minimal. 
 Operating income decreased JPY 5.3 billion year-on-year to JPY 32.6 billion. This decrease was primarily due to the deterioration of net gains and losses as a result of a decrease in the provision of policy reserves and appraisal losses from its hedging activity, both pertaining to minimum guarantees for variable life insurers resulting from strong stock market conditions. 
 We have revised upward our forecast for Financial Services revenue to JPY 1.460 trillion to reflect the current market environment. On the other hand, we have revised downward JPY 10 billion forecast for operating income to JPY 160 billion. This is primarily due to the third quarter results and the fact that increase in policy amount in force is slightly below our expectations. 
 Lastly, I would like to show the forecast for each of our segments. 
 This concludes my remarks. Thank you. 
Sadahiko Hayakawa: Now the floor is open to your questions. 
Operator: [Operator Instructions] Ono of Morgan Stanley. 
Masahiro Ono: Concerning I&SS segment, 2 questions. The operating income JPY 230 billion upward revision and concerning top line, what about the volume upside and the improvement of product mix in view of those aspects, roughly speaking? What do you think had a greater impact on the outcome? 
 Second question, the increase in fixed asset and you've reduced it slightly. Is it because of the higher efficiency investment? Or are there any factors related to this? 
Hiroki Totoki: First, on I&SS, the upward revision for annual forecast, what are the factors, volume increase or product mix improvement. On this matter, we explained this during the second quarter. The balance between unit increase and product mix improvement, the contribution is about more or less the same. And the increase in the fixed asset -- a decrease in the -- fixed asset increase of I&SS, well, with the improvement efficiency, we could secure the assumed capacity without increasing capital expenditure. That was a factor behind. 
Mika Nishimura: Nishimura, Credit Suisse. The first question is about I&SS. Earlier, talking about next year, talking about competitive environment, you are not optimistic about the competitive situation. When looking at the supply and demand, the industry as a whole is enjoying a sort of a good situation. So what is your take of the risk? 
 And the second question is about the Game business. Free-to-play business is declining in the third quarter compared to the first and second quarter, the third quarter. What were the signs of the decline? And also for the next year, the decline in free-to-play revenue, is this just a temporary situation for this year and not be repeated next year? 
Hiroki Totoki: Well, the competitive environment, we explained that we're not optimistic about the situation next year. But it's difficult to explain that quantitatively. But the image that I have in my mind is this: next year, I think I said this at the previous -- last meeting, initially, our forecast was that the first half will be very strong demand. So thinking about the balance against the production capacity, if we're going to build a strategic inventory in the fourth quarter, but as things stand currently, most of the strategic inventory that we're going to deliver next year, it would have to be delivered this year. So whether they can meet the demand next year is still a problem. And the 0.8 million micro sensors that's contributed to our profitability, we are in the second year of production. But there's a catch-up made by the competitors and also the price competition will become more severe in the second year of the production. So this is the situation that we are forecasting. 
 But needless for me to say, there's concern about the coronavirus. We have not incorporated any impact of that in our numbers. So as we learn more about the data, we'll have to read that in our results forecast. 
 And next, about the Game business, the decline in free-to-play business, what was the situation in the third quarter? How much decline did we experience? So has that decline completed this year or is it going to be repeated next year? Well, the so-called third-party software, the significant decline that we experienced. Much of that is related to decline in free-to-play titles. But for other software titles, the new titles and also the library of existing titles, the business is basically flat. So the free-to-play titles, our -- it has been very difficult to forecast the business and that was the experience this quarter as well, the difficulty of forecasting the business. But for other businesses, there has been no significant change. So we'll have to advise methods of forecasting, particularly looking at the free-to-play titles. 
Mikio Hirakawa: Hirakawa from Merrill Lynch. My 2 questions are on the Game business. The first is as follows: you discussed about PlayStation Plus. Now in your previous statements, if there are major titles that would trigger the increase of the membership of subscribers. In that context, I thought that you will struggle during the October-December period. But nevertheless, you were able to increase the subscription of the member space. What did you do to achieve this growth? And as you move on to the next generation, what would happen to your subscriber or the customer base? 
Hiroki Totoki: We have to steadily increase the membership for PS Plus. And how to increase the efficiency of retention, there are a number of plans and ideas. Of course, in August, there was a revision of the price. If you subscribe for the entire year, you enjoy a certain discount. And this has led to the increase of steady, stable users. In providing such, the users would enjoy the online multiplay and free play and also 100-giga PlayStation 4 is also combined. And also they enjoy the promotions for discounts. And by combining different ideas, the users' favorite start, and we were able to increase the membership. There is a trend of increasing the membership during the third quarter, but by improving the services and providing a variety of services, we would like to continue this trend and have a robust increase of the customer base. 
  Now about the future generation, of course, we would definitely like to increase the base to prepare for the next generation of the product. But there is very little that I can discuss about the future generation of the console today. But when the time is right, we will disclose the new product. 
Mikio Hirakawa: The PS5 is to be launched in the selling season towards the end of the year. So what will be the guidance -- future guidance for March 21? You have not disclosed the price for PS5. So what would happen to the guidance that you'll be releasing in April for the next fiscal year? 
Hiroki Totoki: It's very difficult to really discuss this timing-wise. But as of today, we will provide the guidance at a time period, which is comparable to the past. So we will not change the time schedule. 
Kota Ezawa: Ezawa of Citigroup. Two questions. First one, concerning EP&S. The -- what about the guidance of operating income for the fourth quarter? I understand that there will be a major loss, and you talked about the recording of onetime expense. But in the way of breakdown, what is the trend for each product and what sort of factors you foresee? Or what about the amount of onetime expense to be recorded?
  And for the coming fiscal year, to what extent the profit of EP&S business be improved, including the impact of onetime expense? 
Hiroki Totoki: During the fourth quarter, EP&S operating income would be in a deficit. And in my presentation, I made a mention that structural reform of the Mobile business and recorded onetime expense, and the impact of this is considerably large. But to what extent we can control this amount is something we are scrutinizing at the moment, and we like to minimize the amount as much as possible. 
 In other categories of product, we do not think any expense would go beyond the normal seasonality, the level of inventories, as I mentioned. And during the third quarter, we could successfully control the level of inventory. 
 And concerning TV, for the time being, as I mentioned during the last time earnings announcement, we are thinking of launching some products during the fourth quarter and that plan remains unchanged. However, the current supply chain concern in China may surface. There may be some delay in ramp-ups. 
Kota Ezawa: Do you have the factors for increased profit next fiscal year? 
Hiroki Totoki: About the new fiscal year, we have not finalized our plan yet. But our planned intention are that in the course of fiscal -- next fiscal year, we'd like to make a good start so that we will not be drawn by the negative legacy and make a solid plan. 
 One point of confirmation, the fourth quarter with subcontracting, that is minus JPY 35.8 billion. And the restructuring budget for the fiscal year was increased by JPY 20 billion and substracting that what remains would be around 1 -- JPY 13 billion and that will go to Mobile. 
Kota Ezawa: And then would there be other deficits in other sectors than Mobile which would adapt to JPY 38 million? 
Hiroki Totoki: Well, as you analyze, that may be a appropriate line of understanding. But we do not show the details in terms of individual breakdown. 
Kota Ezawa: And another point concerning the Game business, my second question. Third-party software performance was not very good. But what about the first-party titles' performance? To the extent possible, was it higher than or lower than the expected first-party title performance? Were there any major titles? 
Hiroki Totoki: Basically, we cannot answer in terms of the amount compared to how we expected. So I'd like to give you the impression/observation. The -- about the third-party full game, our assumption of the older titles were lower and we could not reach it. And the first-party full game, our assumption was -- or expectation was higher, and we did not quite reach that level. 
 And concerning PS Plus and so forth, along the line of our original expectation and assumption. 
Manabu Akizuki: Akizuki, Nomura Securities. Firstly, about I&SS, you always disclose the actual production capacity every December. Can you give us the figure again? 
Hiroki Totoki: Mr. Korenaga, can you answer that question? 
Hirotoshi Korenaga: Yes. The Images' production capacity at the end of the third quarter, our capacity was 115,000, 115,000. Our expectations before was 7,000 and there was some decline, but this is due to the change in process mix. So the established capacity itself, there's no delay in setting up the capacity. At the end of fourth quarter, it's going to be 124,000. It's going to be 124,000. 
 About input, the third quarter situation does full operation. And for the fourth quarter, we expect to operate the capacity fully as well. 
Manabu Akizuki: The second question is about Pictures, enhancing the franchise business you mentioned. Can you talk about the inventory you made -- investment you made in October and December? Particularly the Game Show Network, the nature of the investment is different. And I think you are working on nonprofitable franchises in particular. So what are you doing in terms of investment? 
Hiroki Totoki: For the acquisition plans, well, the Game Show Network, we fully subsidiarized this operation. Originally, it was held by ATT (sic) [ AT&T]. We acquired a 42% stake in that and then made a full subsidiary -- sorry, we acquired ATT's (sic) [ AT&T's ] 42%. Originally, we had 58%. They have the original game shows distributed in U.S. cable TVs. That's the nature of the business. And G&NS -- games -- online games -- online games are also provided. And this business unit for us, from this point of view, we believe, is profitable going forward. And therefore, in order for us to be able to make strategic decisions in the [ flexible manner ], we felt that making this 100% full subsidiary was a good idea. And therefore, we did that. 
 Another point is about the Silvergate. This is for animated development and production for the children and also [ distribution and ] licensing. And SVOD and cable TV, we've prepared 7 titles for them, original titles. So the purpose in this business is to get excellent talent. And this business as a category is very attractive. That's been a view consistently. And we've connect with dialogues, and now that we found this opportunity for acquisition, we moved rather quickly to make the decision for acquisition. 
Junya Ayada: JPMorgan. Ayada is my name. My question first is on I&SS. To reflect back the third quarter, there has been product mix, an increase of volume. Now in the fourth quarter, what is the momentum for sales of increase per wafer? I think the second quarter there was better momentum. Was it true for the third quarter? 
 Now also during the third quarter, was -- I think the inventory fluctuated and that resulted in a negative impact on P&L. Now I&SS third quarter, you're right in saying that most of mix and the volume increased. And the momentum to wafer... 
Hiroki Totoki: No. I think you're referring to the unit cost of wafer, which we are not disclosing. So I would like to refrain from making any quantitative statement. But as a wafer size enlarges, the yield would come down per wafer. And therefore, we have to make the average selling cost, which would offset and which will surpass that drop. That's the logic. Therefore, the sales per wafer and the sales cost or unit cost momentum should be maintained and we are working on that. And also in the meantime, we are working on the betterment of yield. And for new products, we would like to make sure that a ramp-up would be very smooth because -- which would consequently improve profitability. So we will be focusing on those measures. 
Junya Ayada: Now the third quarter, the inventory fluctuation, what impact would it have on the P&L? 
Hiroki Totoki: The second quarter and the third quarter, if you compare the 2 quarters, the inventory declined by JPY 7.8 billion approximately. And this is true that it has pushed down the earnings, the profit. Now on a year-on-year basis, the difference is more than JPY 10 billion. 
Junya Ayada: The second question is on the Game & Network Service. And please answer, if you can, to the best you can. Mr. Totoki said that you intend to have a smooth transition to the new generation. And as you do so what are the factors that you can control, such as marketing or development cost? Or there could be factors which are not visible, could be volume or price. So the best you can, can you discuss on what you can discuss and what is already visible? 
Hiroki Totoki: First, we must absolutely control the labor cost, the personnel cost. It must be controlled. And it leads to what should be recognized as a cost. We will definitely control that. And the initial ramp-up, how much can we prepare initially? We will work on the production and the sales, and we will have to prepare the right volume as we launch this. 
 What is not very clear or visible? It's because we are competing in the space. So it's very difficult to discuss anything about the price at this point of time. And depending upon the price level, we may have to determine the promotion that we are going to deploy and how much cost we are prepared to pay. So it's a question of balance. And because it's a balancing act, it's very difficult to say anything concrete at this point of time. But when I said a smooth transition, we mean that we will definitely choose the optimal approach. And that we would try to have the best balance, so that will be profitable in the life -- during the life of this product. 
Ryosuke Katsura: Katsura, Mitsubishi Nikko Securities. Concerning I&SS, one point, in the slide, you refer to the product other than image sensors. And what do you think of the contribution of these products from next fiscal year onward? 
 And on the investment side, in your explanation, you mentioned that probably you do not have to do as much investment as you expected because of higher efficiency of the operation, including the use of outside capacity, probably you are thinking of the various ways. And you have the overall framework of JPY 700 million in 3 years in MRP. And what are the other factors? 
Hiroki Totoki: Other than -- the contribution by other than mobile image sensors, the sensing -- sensors is one for FA and automotive applications are the ones. So other than mobile application, by 2025, we'd like to increase the contribution percentage up to 30%. That's what we have been talking about. And this target remains unchanged. And we will -- we are doing what is necessary to achieve that target right now. And the short-term products or maybe the ToF sensors for Mobile with a shorter lead time and by-and-by, we will be able to show the possible percentage from next fiscal year onward. 
 About ToF sensors, the -- it's not that we need a capital investment only dedicated for ToF sensor. So it has a high potentiality for business contribution, and we should be able to secure the appropriate margin on ToF sensors. 
 About the investment efficiency, about the decline in investment by JPY 15 billion, thanks to higher efficiency. But over the medium term, JPY 700 billion is the number. We do not foresee any major change. But next fiscal year, we will be looking at the next MRP from '21 to '23. So at that timing, we will look at the way of investment over the coming 3 years. For the next MRP, we should be able to show our view on such investment. 
Kenji Yasui: Yasui, UBS securities. About I&SS, I have a question, a short-term question. Into the fourth quarter, what will be the inventory fluctuation? Is it going to be less or greater amount of inventory? Of course, it depends on the market demand, but what is your target? Will it be more or less the inventory for the fourth quarter? 
 The second part of the question is October-December, your business is very good, but your largest customer in the United States, there was -- I understand a change in mix, is it mix -- the mix of the company. It was affected negatively because of this mix and there was a difference in results between the 2 and 3 sensors -- cameras. So there's some adjustment in your business in China starting in December. So as a consequence, January to March and also April to June, can we expect demand sufficient to fill all your capacities and supply? 
Hiroki Totoki: Well, initially, for the fourth quarter, we had a plan to increase the strategic inventory to prepare for the next year. But what happened was a strong demand from the customers for the fourth quarter. Therefore, it was difficult for us to actually build up the strategic inventory for the future. We have to deliver whatever we had. But there's impact of this coronavirus, and it may not mean much for me to explain the situation excluding that potential possibility, but there's a likelihood that demand will slow down because of that. 
 So considering all this altogether, the inventory will only slightly increase compared to the third quarter. So it will not change significantly in the fourth quarter. That's our current expectation. But then, again, nothing is definite now. I cannot say that for definite, but that's generally our view. 
Kenji Yasui: Well, you may add this. On an output basis, what is your plan for January-March period? The output of the shipment? I think you gave us data output based on production capacity, 100,000 for the first quarter. That's -- you're talking about the capacity? 
Hiroki Totoki: Well, installed base and input and output, there are 3 elements. Capacity is already installed. Input is what you are inputting. Output is the result of that input. The shipment is not included in this. So the point of your question is, again, January-March, wafer shipment, the production, what will be the amount? So we do not disclose output numbers, but lead time is between 5 and 6 months. So use that as a basis of calculation. 
Sadahiko Hayakawa: Thank you. Our time is up. And with this, I'd like to conclude this earnings announcement. Thank you for your attendance. 
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]